Operator: Welcome to the RAVE Restaurant’s First Quarter 2019 Financial Results Conference Call. [Operator Instructions]. I’d now like to turn the conference over to Ms. Andrea Allen. Please go ahead.
Andrea Allen: Thank you. Good afternoon, and thank you for joining the RAVE Restaurant Group’s fiscal first quarter earnings call. Everyone should have access to our first fiscal quarter 2019 earnings release that was published this safternoon. The press release can be found at www.raverg.com in the Investor Relations section. Before we begin, I would like to remind everyone that part of our discussions today will include some forward-looking statements. These forward-looking statements are not guarantees of future performance, and therefore, you should not put undue reliance on them. These statements are also subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We refer you all to our recent SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial condition. Please note that today’s call, we will discuss certain non-GAAP financial measures, which we believe can be useful in evaluating our performance. Any discussion of such information should not be considered in isolation or as a substitute for the results prepared in accordance with GAAP. A reconciliation of comparable GAAP measures is available in our earnings release. With that, I’d like to turn the call over to Scott Crane, our Chief Executive Officer.
Scott Crane: Thanks, Andrea. Good afternoon everyone. Once again I'm pleased to share our first quarter financial operating results. We have still have exciting shifts that are taking place at all of our Rave brands, the team is very optimistic that the revitalization plans of strategic changes we made over last two years are beginning to take shape and evidenced in our financial results you will see. As I stated in our release we are confident that Pizza Inn, Pie Five and Pie are poised for growth. Despite adverse impacts from Hurricane Florence in September Pizza Inn has its seventh quarter of growth and comparable store sales for the first quarter of fiscal '19 domestic comparable retail sales increased 2.3% compared to the same period of the prior year while total domestic retail sales increased by 40 basis points. This continued positive traction is to reinvigorate the Pizza Inn brand in the franchise space is providing momentum for higher sales. Our mission continues to be delivering exceptional service and quality by intentionally choosing to serve our guests, teams and communities like they are members of our own family. Pie Five same store sales decreased 1.8% in the first quarter of fiscal '19 when compared to the same period last year. Pie Five is now at it's five consecutive quarters of progress in comparable same store sales. After two challenging years of this brand we are seeing a very positive trend. I'm optimistic that we have a strategy in place that we will continue building on this trend of improvement. The new products like our 14 inch shareable pizzas, cauliflower crust, along with online ordering and delivery continued to exceed our expectations. We have additional menu items in test such as calzone concept that we hope to deliver to the system in the future and what's more importantly as we see these new products in new restaurants as we open them the menu mix is much, much higher as the fact that we are not trying to reeducate the guest in the current restaurants so it's very, very exciting. We also introduced this coming year a new limited time menu item through our Pie Five pizza passport, we will be sharing the travel itinerary in early February so guests can see what flavor profiles we will highlight. We expect a lot of excitement around it as well as to be integrated into our app. We've also debuted an innovative new prototype that we believe is the future of the fast casual pizza segment with [indiscernible] reporting 86% of consumers are using off premise dining at least once a month and a third of consumers are using it more than they did a year ago we are doubling our efforts to service these consumers. Pie Five's goldilocks design features a smaller footprint that empathizes off-premise sales to carry out online ordering and third party delivery. We open the first location this past Monday and the results have been phenomenal. We're going to continue to test potential solutions and increase convenience for our guests while also maintaining an elevated experience and with that I'll turn over to our new President Bob Bafundo to talk more about the business development.
Bob Bafundo: Thanks, Scott. The recent success of Pizza Inn is exciting for our team and creating a ripple effect through our franchise space as sales continue to climb our Pizza Inn franchisees are reinforcing their commitments to their communities by delivering quality products and services that are driving traffic. Momentum from all day buffet, online ordering and newly remodeled locations has continued to strengthen through the first quarter. In addition adoption by franchisees of our new POS platform is starting to give us meaningful consumer data and analytics to further refine our strategy. Pizza Inn development is picking up speed as well. Our newest prototype recently debuted in our home market and we have another new location slated to open next month in the southeast. We also have data that indicates remodeled Pizza Inn locations are experiencing increased traffic and sales. This combined with a strong restaurant industry outlook is driving renewed interest in our traditional buffet concept. Enthusiasm for the Pie concept also continued this quarter. During the first quarter we opened three additional Pizza Inn Express or Pie locations. Feedback from operators has been very optimistic and we now have a pipeline of potential new licensees that we expect to continue to fuel growth. We believe the limited footprint and minimal start-up cost required to own and operate a pie unit gives operators the ability to expand the brand into convenience stores, malls, travel centers, airports settings or even big box retailers. The key opportunity for expansion of this brand will be with multi-unit licensees. During the first quarter of fiscal 2019 the number of Pizza Inn domestic units remained flat at 153 and international units finished at 51. We finished the quarter with one company owned in 70 franchise Pie Five restaurants, selling company off-locations to franchisees has allowed us to focus on sales driving initiatives like new menu items, third party delivery, carry out and catering. I'm now going to turn the call over to our new Chief Accounting and Administrative Officer, Andrea Allen to discuss our financial results in further detail.
Andrea Allen : Thank you, Bob. For the first quarter of fiscal 2019 total revenues decreased to $3.0 million compared to $5.4 million dollars in the same period of the prior year, decreased revenues were driven primarily by the reduction in company owned units from transfers to franchisees and closures and driven by the prior year's 0.7 million in revenue for franchise and development fees including defaulted area development fees. As of the end of the quarter the company owned one Pie Five restaurant compared to 14 as the end of the first quarter of the prior year. All 274 other domestic and international units are either franchised or licensed. Net income for the first quarter increased $126,000 or $0.01 one per diluted share compared to a net loss of $356,000 or $0.03 per diluted share in the same period of the prior year. On June 25, 2018 the company adopted ASU, 2014-09 and topic 606 using the modified retrospective transition method, results for reporting period beginning after June 25, 2018 are presented in accordance with topics 606 while prior period amounts are not adjusted and continued to be reported in accordance with our historical accounting under topic 605 revenue recognition. A cumulative effect adjustment of $1.6 million was recorded as a reduction to retained earnings as of June 25, 2018 to reflect the impact of adopting topics 606, the impact of applying topics 606 for the quarter ended September 23, 2018 was an increase in revenues of $450,000 and an increase in pretax income of $31,000. Additional details on the adoption and fiscal 2019 impact of a new revenue recognition standard can be found in our Form 10-Q for the quarterly period ended September 23, 2018 filed with the SEC. Adjusted EBITDA of 0.5 million for the first quarter of fiscal 2019 was $0.2 million increase from the same period of the prior year primarily driven by the prior year's $0.7 million revenue for franchise and development fees including defaulted area development agreement and was partially offset by savings in corporate, general and administrative expenses and income improvement in company owned stores. The company's cash and cash equivalents increased to $2 million as of September 23, 2018, a $620,000 increase during the first quarter of the 2019 fiscal year. During the first quarter cash provided from operating activities was $519,000 compared to cash used $1 million in the prior year. For the quarter we used $6000 in cash in investing compared to $370,000 in the prior year. We had a net of $36000 in cash provided from financing activities in the first quarter compared to $4.9 million in the prior year primarily as a result of sale of stock in connection with shareholder right's offering that closed in September 27, 2017. The reduction of total shareholders' equity at the end of the quarter to $4.9 million from $6.3 million at the end of fiscal 2017 was primarily the result of the impact to retained earnings due to the adoption of topics 606. As a reminder we disclosed a great deal of brands specific financial and operating performance in our earnings release, payables and in our SEC filing this information includes brand specific comp and non-comp restaurant average unit volume and income statement [indiscernible] details and various explanations. Our Form 10-Q was filed with the SEC earlier this afternoon I'll now turn the call back over to Scott Crane for his final remarks before we take some Q&A.
Scott Crane: Thanks, Andrea. Appreciate that. To close continue to be pleased with the results in the prior quarter and in Q4 of last year as well just the trends of the last two years and we believe the recent trends are improving and continue in future quarters. As demand continues to build I'm confident that we'll continue to move the needle for all Rave brands and our best quarters are ahead of us. With that I'll turn the call over to the Operator for questions.
Operator: [Operator Instructions]. And it looks like our first question tonight will be from [indiscernible]. Please go ahead.
Unidentified Analyst: Great job. You explained away my question about the adjusted EBITDA pretty much I will look up the topic regulations to figure that out and the only question I then have was just regarding I assume its same answer as the topic of the total shareholder equities deploying have to do with the increased accumulated deficit as a result of the topic 16 is that correct?
Andrea Allen : Yes that is correct. We had a $1 million adjusted further broken out in our 10-Q filings.
Unidentified Analyst: Right, which I didn't have time to read I only saw it at 5:45 Eastern time so I will go through it I don't needed to have you bothered but I just want to say you guys are doing a great job, I know I mentioned it to you when I first got on the phone and keep up the great work. Really, nothing more to add just thank you very much.
Scott Crane: Thank you. Appreciate the comment.
Operator: [Operator Instructions]. At this time I'm not showing any more questions. So with that I would like to conclude the question and answer session as well as today's conference. I want to thank everyone for attending and at this time you may now disconnect.